Operator: Welcome to the American Assets Trust Second Quarter 2017 Earnings Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Adam Wyll, Senior Vice President and General Counsel. You may begin.
Adam Wyll: Good morning. I'd like to thank everyone for joining us today for American Assets Trust 2017 Second Quarter Earnings Conference Call. Joining me on the call are Ernest Rady and Bob Barton. These and other members of our management team are available to take your questions at the conclusion of our prepared remarks. Our 2017 second quarter supplemental disclosure package provides a significant amount of valuable information with respect to the company's operating and financial performance. The document is currently available on our website. Certain matters discussed on this call may be deemed to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include any annualized or projected information as well as statements referring to expected or anticipated events or results. Although we believe the expectations reflected in such forward-looking statements are based on reasonable assumptions, our future operations and our actual performance may differ materially from the information contained in our forward-looking statements and we can give no assurance that these expectations will be attained. Risks inherent in these assumptions include, but are not limited to future economic conditions, including interest rates, real estate conditions and the risks and costs of construction. Our earnings release and supplemental reporting package that we issued yesterday and our annual report filed on Form 10-K and other financial disclosure documents provide a more in-depth discussion of risk factors that may affect our financial conditions and results of operations. Additionally, this call will contain non-GAAP financial information, including funds from operations or FFO; earnings before interest, taxes, depreciation and amortization or EBITDA; and net operating income or NOI. American Assets is providing this information as a supplement to information prepared in accordance with generally accepted accounting principles. Explanations of such non-GAAP items and reconciliations to net income are contained in the company's supplemental operating and financial data for the second quarter of 2017 furnished to the Securities and Exchange Commission and this information is available on the company's website at www.americanassetstrust.com. I'll now turn the call over to our Chairman, President and CEO, Ernest Rady, to begin discussion of our second quarter results. Ernest?
Ernest Rady: Thanks, Adam and good morning, everyone. Thank you for joining American Assets Trust Second Quarter 2017 Earnings Conference Call. Our focus in 2017, as it has been for decades now, continues to be on the growth of net asset value for our shareholders which we believe will ultimately result in increasing cash flow and dividends paid out to our shareholders. 2017 continues to be a year of repositioning, investment and growth and we still expect to deliver relatively strong FFO growth for 2016. On top of that, you may have noticed that Bob and his team -- over 2016. On top of that, you may have noticed that Bob and his team published our updated annual estimate of net asset value in early June of $50.75 a share, with no input from me or my dad. This is approximately an 8-week progress that Bob and his team go through working with outside brokers and each market trying to get an accurate valuation in the current marketplace. And this evaluation is based not only on capitalization rates, on annualized in place NOI, but also factors in the net present value of estimated future lease roll downs and the cost of repositioning and the timing of those cash flows. The valuation also takes into consideration valuation feelings in each market based on dollars per square foot or dollars per hotel room key or dollars per apartment unit. Our current net asset value that we recently published also factored in a significant reduction in value related to the valuation of Waikele Center resulting from the renewal, repositioning and re-leasing at several tenants at Waikele. In spite of all the repositioning and investment, our NAV increased again this year to $50.75 per share. Our objective is to be as accurate as possible and if we're going to err, we hope to err on the side of conservatism. Our repositioning includes Torrey Reserve building in San Diego. It's the renovation and actually, we have asked the jackhammers to really call it off for an hour so we can have this conference call, with a goal envisioned to make it more relevant to the current leasing marketplace by opening it up and making it more light, bright and energetic and more spaces for 2 tenants to collaborate amongst their employees. We expect this project to be finished later in the fourth quarter. At the Waikele shopping center on the island of Oahu in Hawaii, we're still working on various scenarios that will create the best long term sustainable outcome for the Kmart space. While Waikele is located on 43 acres, fee simple, with a half mile of frontage on the primary H1 freeway and we want to make sure we maximize the property and its return for the stockholders over the long run. We're being purposely deliberate in our process as the location is irreplaceable and we want the right long term tenants for this property which we believe will ultimately result in its outcome that we'll all be proud of and will create long term value for us stockholders. We do have a letter of intent with a national grocer and we're working to finalize the layout of the space before proceeding to lease documents. The acquisition of the Pacific Ridge Apartments closed on April 28. Pacific Ridge is a 533-unit luxury apartment located in San Diego, California, that was completed in 2013 and is currently approximately 92% leased. The property is purchased off of Oahu, offering unobstructed panoramic views of the Pacific Ocean, with an unparalleled amenity package and designed with a large focus on enviromental sustainability. The property's central location in San Diego provides residents with convenient access to the light rail systems, extending residents' reach to downtown, the San Diego International Airport, the San Diego Zoo, sports venues, numerous malls and retail centers, 3 universities and culinary destinations along the freeway. The acquisition of Gateway Marketplace closed on July 9. Gateway Marketplace is an approximately 128,000 square feet dual grocery-anchored shopping center in the city of Chula Vista. It is approximately 99% leased. This was a strategic acquisition which was adjacent to our approximately 133,000 square foot Southbay Marketplace shopping center. This now creates a much larger shopping destination and provides economies of scale and eliminates the neighboring competition. We're pleased with this acquisition. Torrey Point, our new office development in San Diego, is finishing up the punch this month. I'm pleased to report that we've signed our first tenant for 2 floors of the project, representing approximately 35% of the building. The initial lease is for a 10-year term and is within our stabilized deal parameters. Loma Palisades is on track to finish the major remodel of its 21 apartment units in the fourth quarter of this year. We took each of these units down to the rooftops and rebuilt them with modern amenities and current styles. We're looking forward to the increased rental income that we expect each of these units to produce. Each of these units have a view overlooking Mission Bay of San Diego. We're also starting further investment to upgrade additional units in this project, of course, depending on the financial status of this first phase. As a matter of interest, we continue to make substantial investment in each of our properties to create long term NAV for our stockholders. Lastly, we believe the overall quality of this portfolio will continue to outperform regardless of where we're in the real estate cycle. With interest rates expected to increase, we're hopeful to find some dislocation in the marketplace and capitalize on those opportunities that present themselves. On behalf of all of us at America Assets Trust, we thank you for your confidence in allowing us to manage our company and we look forward to your continued support. Now I'll turn it over to Bob Barton, our Executive Vice President and CFO. Bob, please.
Robert Barton: Good morning and thank you, Ernest. Last night, we reported second quarter 2017 FFO of $49.5 per share, just a hair shy of Bloomberg's consensus estimate of $49.6 per share. Net income attributable to common stockholders was $0.12 per share for the second quarter. The company's Board of Directors has declared a dividend on its common stock of $0.26 per share for the quarterly period ending September 30, 2017. The dividend will be paid on September 28, 2017, to stockholders of record on September 14, 2017. Our retail portfolio ended the quarter at 96.8% leased. On a year-over-year basis, our retail occupancy was down approximately 140 basis points from the second quarter of 2016, leaving approximately 98,000 square feet vacant in our $3 million plus square foot retail portfolio. The decrease in retail vacancy is primarily attributed to the Sports Authority bankruptcy in 2016 at our Waikele shopping center which consisted of approximately 50,000 square feet. Additionally, during the second quarter, we renewed Lowe's at Waikele Center which was scheduled to expire in June of 2018 and occupies 150,000 square feet for an additional 10 years. The renewal reflects a roll-down in rents and is the primary reason for the negative cash re-leasing spreads in our retail portfolio during the second quarter. During the trailing 4 quarters, 83 retail leases were signed, representing approximately 389,000 square feet or 13% of our total retail portfolio. Of these leases signed, 72 leases consisting of approximately 367,000 square feet were for spaces previously leased. On a comparable basis, the annual cash basis rent decreased 3.7% over the prior leases. Our office portfolio ended the quarter at approximately 88.7% leased, down approximately 170 basis points on a year-over-year basis, primarily due to one tenant's lease expirations on December 31, 2016, at Torrey Plaza in San Diego, where approximately 70,000 square feet has been vacated as expected. During the trailing 4 quarters, 60 new office leases were signed, representing approximately 390,000 square feet or 15% of our total office portfolio. Of these leases signed during the year, 46 leases, consisting of approximately 323,000 square feet, were for spaces previously leased. On a comparable basis, the annual cash basis rent increased 17% over the prior leases, 32.5% just in the second quarter. Let's talk about lease expirations for a minute. Office and retail combined for the remainder of 2017, we have approximately 200,000 square feet of lease expirations. Approximately 103,000 square feet or 51%, relates to our City Center Bellevue office building in Bellevue, Washington. We have 2 floors expiring on October 31 and 3 floors expiring December 31. We're currently in the market actively pursuing 14 full floor prospects in the market. What I found interesting was that the Seattle City Council recently passed an income tax on Seattle residents in the upper income brackets. According to the Broderick Group, a commercial real estate service firm in Seattle, a generally negative Seattle stance towards business and those who create jobs may push CEOs considering Puget Sound to consider Bellevue on the East side as they compare the 2 markets for business expansion. It may not be a coincidence that Amazon has leased space in downtown Bellevue. And Vulcan, Amazon's largest landlord in Seattle, is on a very significant buying spree of downtown Bellevue. Bellevue is known for its pro-business tax environment and most importantly, one of the most stable, well-educated workforces in the country and will continue to provide a right environment for corporate growth in Bellevue for the foreseeable future. Our 2018 lease expirations combined for retail and office are approximately 780,000 square feet, assuming no one exercises their option to renew. However, once you factor in Lexington's Sears ground lease at Carmel Mountain Plaza in San Diego and the Kmart at Waikele regional shopping center, Hawaii, we're down to approximately 550,000 square feet which is approximately 250,000 square feet of retail and 250,000 square feet of office which is typical. And lastly, historically, we've experienced 90% retention of our retail tenants and 82% retention of our office tenants. If you assume that our existing tenants will exercise their options to renew, the 780,000 square feet of 2018 lease expirations is reduced to 152,000 square feet. Either way, we believe that we're in good shape as we look into 2018. Our multifamily portfolio went through significant changes during the second quarter with the acquisition of the Pacific Ridge Apartments on April 28, 2017. Our multifamily portfolio increased by 533 units or 34%, to a total of 2,112 units. Our entire multifamily portfolio ended the quarter at 92.6% leased. Taking a look by location on a comparative basis, our San Diego multifamily portfolio, excluding the newly acquired Pacific Ridge and seasonal Santa Fe RV resort properties ended the quarter at 95.7% leased. On a year-over-year basis, this was a decrease of 138 basis points primarily due to the 21 units at Loma Palisades that are currently offline for a renovation project. As Ernest mentioned, we expect to have these units back online sometime in the fourth quarter. In the Lloyd District in Portland, our Hassalo multifamily portfolio ended the quarter at 90.3% leased. On a year-over-year basis, this was an increase of 445 basis points. Portland continues to have one of the lowest unemployment rates in the country and has been one of the hottest residential markets in the nation. However, with growing new inventory in the market, apartment owners have begun providing heavy concessions to attract to fill their new development as rent growth is slowing. Fortunately, our concessions have remained considerably less than the market. We offer less than one month free rent and our peers are offering 2-plus months of free rent. Nevertheless, we still believe we have the right product in a highly desired transit-oriented location, with a neighborhood that continues to evolve before our eyes. We continue to be positive on this development and believe that it will create long term net asset value for our shareholders. And lastly, we believe the multifamily portfolio continues to be an excellent hedge against inflation in an environment of increasing interest rates. Let's now talk about same-store NOI for a moment. Same-store retail cash NOI increased in the first quarter to 1% primarily due to DICK'S Sporting Goods leased at Carmel Mountain Plaza in San Diego which began paying rent in the second quarter. As I mentioned before, the Sports Authority space that vacated due to the bankruptcy last year is driving the flat retail same-store cash NOI in 2017. Once it is re-leased with a new tenant paying rent, we believe that same-store retail cash NOI growth will be back to 3%. Same-store office cash NOI was up 4.5% in the second quarter primarily due to new tenants at our Lloyd 700 and our first and main properties located in Portland, Oregon, as well as lease renewals at our Landmark office building in San Francisco. We've also added the Torrey Reserve Campus office portfolio in San Diego back into the same-store pool in Q2 '17 now that it has been a full period since redevelopment has been completed. Same-store multifamily cash NOI was up 5.2% for the second quarter. Higher year-over-year rents in our San Diego multifamily portfolio is the main driver of the same-store growth for the multifamily portfolio. This growth has been accomplished even with 21 units from our Loma Palisades property taken offline for renovation. Hassalo on Eighth multifamily will be added to the same-store pool in Q4 2017 and Pacific Ridge Apartments, our newly acquired San Diego multifamily property, will be added to the same-store pool in Q3, 2018. Waikiki Beach Walk, our mixed-use property, consisting of the Embassy Suites hotel and Waikiki Beach Walk retail, reported a combined increase in same-store cash NOI of approximately 0.5% for the second quarter. The Embassy Suites hotel same-store cash NOI increased approximately 5.5% as a result of both higher revenues and lower operating expenses. Waikiki Beach Walk retail same-store cash NOI decreased 4.2%, primarily due to an increase in rental expenses compared to the same quarter last year. Tenant sales at WBW retail were at approximately $1,082 per square foot for trailing 12 months as our tenants continue to benefit from the excellent location and a good economy. Turning to our second quarter results. FFO increased $3.5 million or $0.05, to $49.5 per FFO share compared to the first quarter. The second quarter results include the following activity, one, the acquisition of Pacific Ridge Apartments on April 28 increased FFO by approximately $0.03 for 2 months of activity in the second quarter; secondly, noncash charges incurred in the first quarter associated with the payoff of the Waikiki Beach CMBS mortgage resulted in an increase in Q2 FFO of approximately $0.01 on a comparative basis; thirdly, our Embassy Suites hotel in Waikiki increased FFO by $0.01 in Q2 primarily due to the bad debt expense incurred in Q1 with respect to the Japanese travel wholesaler that declared bankruptcy. Now as we look at our balance sheet, liquidity at the end of the second quarter, we had approximately $281 million of liquidity comprised of $31 million of cash and cash equivalents and $250 million of availability on our line of credit. Our leverage at the end of the quarter remains low at 32.7% on a total debt to total capitalization basis and a net debt to EBITDA of 6.7x. Our leverage increased slightly in the second quarter with the Pacific Ridge Apartment acquisition and additional unsecured debt. However, our goal and focus is to keep our total leverage at 30% or less and get our net debt to EBITDA down to 5.5x or less on a sustainable basis. Our corporate operating model reflects accomplishing this through organic growth in our EBITDA and the payoff of our CMBS maturities as they come due. Our interest coverage and fixed-charge coverage ratio ended the quarter at 3.6x. Lastly, we're reaffirming our 2017 FFO guidance range of $2 to $2.06 per FFO diluted share, with a midpoint of $2.03 of FFO per diluted share. For those of you that are updating your models in AAT, let me outline how we're thinking about the recent transactions that we have done. Pacific Ridge Apartments that we acquired on April 28 and Gateway Marketplace which we acquired on July 9, are expected to generate approximately $12.6 million combined in NOI which is approximately $19.7 in FFO combined on an annual basis. The best way to illustrate the net impact of additional debt and refinancings that have occurred in 2017 is to compare Q4 '16 interest expense of $12.8 million with our estimated Q4 '17 interest expense of $13.9 million. The quarters in between are not comparative because they have partial months of new debt and repayments. The difference on a quarterly basis is approximately $1.1 million of incremental interest expense or $4.4 million on a stabilized annual basis or approximately $6.8 per FFO share of additional interest expense annually. The FFO accretion, net of the interest expense, is expected to be approximately $12.8 annually and approximately $3.2 quarterly. Said another way, we issued $450 million in lower-rate unsecured debt to pay off $165 million in maturing CMBS debt at an additional interest cost of $4.4 million per year and giving us the ability to use $285 million in accretive acquisitions. It gets complicated from the timing of the cash flow, so it may be hard to follow. But when comparing our estimate of Q3 FFO of approximately $52.6 per FFO share, it appears that we're approximately $1.4 of FFO per share below current consensus for Q3. We believe it has to do with the timing of the cash flows and consensus estimates made as to recent acquisitions and/or the new unsecured private placements. We will continue our best to be as transparent as possible and share with you our analysis and interpretations of our quarterly numbers. We're well prepared, with an even stronger balance sheet than in prior years, to capitalize and execute on other opportunities that we believe will present themselves over the coming quarters. Operator, I'll now turn the call over to you for questions.
Operator: [Operator Instructions]. The first question is from Jeff Donnelly of Wells Fargo.
Jeffrey Donnelly: Bob, thanks for walking us through that quarterly ramp. In your 2017 earnings guidance, [indiscernible] was the focus last quarter. I guess, one question is, are there other factors that are still out there that need to fall into place in order for you to achieve the back end of the year performance that you guys are expecting? Or is it largely due to those 2 acquisitions in the capital markets work that gets you there?
Robert Barton: It's largely through the two acquisitions. And then in the fourth quarter, we have some straight-line rent. So the question is when that straight-line rent will kick in. But right now, we're still within the range.
Jeffrey Donnelly: And just clarifying, I don't remember off the cuff. Were the acquisitions -- the assumption for acquisitions originally in your guidance when you gave it? I'm just curious on that.
Robert Barton: No. In our initial 2017 guidance, we had not included those 2 acquisitions.
Jeffrey Donnelly: Thanks. And then just to switch gears on Torrey Reserve. Are you able to share maybe more detail around the leasing terms, such as whether it's free rent or gross or net rents or TIs associated with the lease?
Ernest Rady: Jeff, we'd like not to -- this is Ernest. Because it may affect the remaining leasing -- the lease of the remaining space may be impacted by that information if became available. So when we're all leased up, we'll be happy to share it with you. Until then, we really like to keep it to ourselves.
Robert Barton: Jeff, Bob here. So when you asked the question, you were referring to Torrey Point, not Torrey Reserve Plaza, correct?
Jeffrey Donnelly: Oh, I'm sorry, correct. Yes, yes.
Robert Barton: Yes. And just to clarify, also, too, is that we're pleased with the terms of that lease and we're within -- we're well within our range of stabilized yield that we presented.
Jeffrey Donnelly: Are you able to talk about the particular tenant use? I'm just curious if it's kind of inconsistent with your expectations and anything else that kind of came from that negotiation that might have given you some color on the condition of the office leasing market.
Ernest Rady: Our tenant is a company that's going to engage in the development of virtual reality. And I think I just grant that Apple now is talking about doing that, too. So it appears to be the tech choice for the future. They've raised substantial amount of money and we think that they'll be successful and will prove to be a worthwhile and perhaps even growing tenant.
Jeffrey Donnelly: And just one last question. You might have mentioned this in your remarks, Bob, but on the retail rents, excluding the Lowe's space, I think your retail cash rent spread was slightly negative in the quarter. Was that somewhat broad? Or was that still concentrated in the hands of a few of the remaining leases? I know it's a relatively small base of leases.
Robert Barton: Yes. You're talking about the leasing respread of negative 32% or whatever was negative. But what we did is we renewed the Lowe's lease. And as a result, we had a roll-down in that lease. Lowe's lease does not come up for maturity until June 1 -- June 30 or June 1, 2018. So what we did is we thought it was prudent to reduce the risk of a 155,000 square foot tenant that we value and basically mark it to market or be a little bit more aggressive than that. Chris, do you want to add anything to that?
Christopher Sullivan: Yes. It was definitely market rate. It was comped from what we had there. And then remember, it was also a 10-year term, so lock-in and running for a 10-year term was [indiscernible].
Robert Barton: The cash impact won't happen until June, but we've had to adjust the straight-line rents.
Jeffrey Donnelly: No, I apologize. I was -- maybe I wasn't clear. I was actually referring to the cash basis rents excluding Lowe's. I was just reading your footnote that said there was a decrease of 2.2% in the quarter. I wasn't sure if those -- the retail leases excluding Lowe's, if there was something that was weighing on it now within those remaining leases?
Robert Barton: Yes. No, there's...
Ernest Rady: Chris's going to answer it. Go ahead, Chris.
Christopher Sullivan: It's primary Lowe's that would have dragged that down. Because the other spreads, there was quite a few leases that went through some up, some down, but very few went down by much. And if they were, they had a soft deal. So I would hang my hats in that, that decrease is primarily on Lowe's.
Operator: The next question is from Paul Morgan of Cannacord.
Paul Morgan: Just sticking on kind of toward the point for a minute. As I recall, one building is 3 floors, the other is two. And did I hear you say that you leased 2 floors in the larger building?
Ernest Rady: In the three-story building.
Robert Barton: Yes. We leased the ground floor and the third floor in the larger building, in the 3-story building.
Paul Morgan: Okay. I recall at one point kind of a strategy than to maybe lease them as full buildings. Was there anything that maybe capped the deal from working out since they took 2 floors of just taking the full other building?
Ernest Rady: I think the terms that they leased it on was satisfactory to us. And they're hopeful and we're hopeful that they're going to require additional space. And they have a certain right to the second floor under certain circumstances. So -- and it is a growth business in a growth industry. So we're glad to have them. And I think they're happy to be there.
Paul Morgan: I see, okay. That makes sense. And then on Portland, you mentioned -- I think this is Portland you were referring to when you talked about rent growth and the apartment market slowing. And maybe just give an update on kind of your leasing strategy for Hassalo and couple of the towers. At least, per the South kind of the average rents were up pretty meaningfully at Aster and Elwood. And then -- but the leased rate was down 300, 400 basis points. So I don't know how much of that is maybe just a burnout, concessions or something. But if you could give kind of a little bit of color on how you guys are kind of attacking the market in light of what's going on more broadly there.
Ernest Rady: Well, first of all, when we opened the project, as you know, we were very aggressive in trying to fill the space which was a very good strategy. In the meantime, some other projects have opened up and the competition's gotten a little more competitive. We're now looking at the project not as 3 buildings, but as one project as a whole. And we've now enlisted a computer aid to price the projects. So we find that some types of -- as I've said frequently, that you really have to learn the project and the marketplace. And we've done that over the last year and we think that now we will, going forward, will have a better fix on we can maximize our rent and minimize our vacancy. But it's been a little tougher market than we had hoped for.
Robert Barton: Paul, to your question in the supplemental, you noticed that Elwood has -- Elwood's increased into Q2, Aster's increased in Q2, Velomor just slightly down. But the increase in the average monthly base rent on each of the units is really attributable to the LRO system, the lease rent optimization system, that we put in place at the beginning of this year. The first year when we opened up, we didn't use that because we were the market. We were pushing new boundaries of that marketplace in a new development and we were creating a new city, if you will. So we -- what we've seen is that in the last quarter, we've really been able to push those rents based on the predictive analytics of lease rent optimization.
Ernest Rady: Actually, I think that the LRO has just started to be used now and we're just starting to get the benefits on it.
Paul Morgan: Okay. And then, I mean, do you have any feel -- I think you said it was going to enter the same-store pool in the fourth quarter. I mean, how kind of the year-over-year number is likely to kind of shape up as kind of we reach that threshold?
Robert Barton: I don't have that answer right now. We're hopeful that it will be positive. In our Q3 earnings call, we'll issue our 2018 guidance and we'll have a better view on it.
Ernest Rady: Portland is an interesting market. In the wintertime, they had snow that was significant and now it's over 105 temperature. So we've kind of got to learn when to rent and how to rent to maximize our returns. And it's a market for us and it's a new market for Portland, too, for this size of project. So we're in the learning process and we're getting much better at it.
Paul Morgan: Okay, great. And just last real quick on Pacific Ridge. You talked about maybe trying to optimize the student-professional mix. And I just wanted to see how -- whether that had any impact on kind of those fall student leasing now that we're kind of about to enter the school year.
Ernest Rady: No, Paul. We just took over the management. It was run professionally up until just the first of this month. And so we did not want to interfere with their normal operations during the student-leasing season. And so we're now in the process of devising our strategy going forward. Do you want to add anything, Russell? We've done a great job in integrating that. And it's been a big job, frankly, to take over that project and eliminate the former manager who -- we think we can do a better job. Russell?
Paul Morgan: Okay. Any changes in the mix or likely to be kind of for the next school year?
Russell Rodriguez: Paul, this is Russell. I just wanted to reiterate what Ernest said. Our third-party manager was in place. We took over as of yesterday. And in the interest of the performance of the community, we want to go in there and see everything that is in place and then optimize it. And hopefully, increase the performance by looking at everything from students to market ratios to marketing in different directions. That's what we're going to do, Paul, to optimize this. And we think we can do a pretty good job. We're very hopeful. But thanks for the question.
Operator: The next question is from Craig Schmidt of Bank of America.
Craig Schmidt: I was wondering if you can describe the transaction market for the West Coast right now. I mean, you, obviously, were able to shift this to multifamily and now a shopping center deal? But how would you characterize it? And what does that mean for maybe future acquisitions?
Ernest Rady: I think the transaction market is still very strong. There's lots of money out there and lots of buyers. In our world which is limited, because it's coastal West Coast and it's got to be infill and of the highest quality, there is not unlimited opportunity. We were able to find these 2 acquisitions because in one case, it had joined a shopping center that we already owned and were able to consolidate the competition. And in the other, it was our view of that property which was perhaps somewhat different than the seller's view. So it's still a strong acquisition market from the point of view. It's tough to steal anything, frankly, tough to make a great fight. We look and we look and we look. And frankly, the more I look, the more I like what we have.
Craig Schmidt: And I don't know if you gave this, but did you give a cap rate on Gateway Marketplace?
Ernest Rady: I don't think we disclosed that. The cap rate on Gateway Marketplace was a little higher than the average because it was -- it's a special property in a special location. And we were able to -- it was a discount store that was taken over and repositioned by another developer and it probably meant a little more to us than to anybody else. On the other hand, we've got a better or slightly better return than we would've thought if we bought something else.
Robert Barton: Craig, we went in at slightly less than 6%.
Operator: The next question is from Brian Hawthorne of RBC Capital Markets.
Brian Hawthorne: Thanks for the description on the acquisition market. I was just wondering if you've seen any change in it versus between now versus 12 months ago?
Ernest Rady: Not much in the quality of assets that we would pursue. I think we see a lot of office offerings for sale and we don't really look at them, because as we've said before, the board and management has agreed that we ought to retain the portion of the asset in office that we presently have. So lots of office for sale, very little retail for sale of the quality that we want and the same for apartments. And of course, apartment market San Diego was a very special market. We're really glad that we have what we have here. And as I said earlier, we're studying now Loma Palisades to see if there's another opportunity. But instead of buying, we reposition and we get a better return than if we went to the marketplace and paid market rates.
Robert Barton: Brian, for high-quality retail assets or high-quality any of these sectors that we're in on the coastal West Coast, anytime we're looking at something, we come up across quite often with life insurance companies. Their cost to capital is much lower than the REIT world. And so they're aggressive out there.
Ernest Rady: You know the market we're in is very innovative. And so there's job creation. On top of that, people want to live here because of the climate. So we think that we're in the right place for now and for the future. Thanks for asking, Brian.
Operator: The next question is from Richard Hill of Morgan Stanley.
Richard Hill: I want to maybe drill down a little bit more on your acquisition of this retail property. I'm curious just from a demographic standpoint maybe if you're looking at competition, household density or household income. Ernest, what made this project particularly interesting to you? You made some comments that maybe not every retail property is up to par for what you're looking for to add to your portfolio. So what made this property particularly stand out? What are the determinants that passes your sniff test, if you will?
Ernest Rady: We got a little better rate of return than if we bought something else. It is in Chula Vista which is North of La Jolla of San Diego. We owned and have owned the adjoining center for, I guess, decades now. It's a special market probably not as much as impacted by the Internet as others. It's a shopping center for the entire South Bay market. It just made a lot of sense for us to own it as opposed to somebody else owning it. And then we had to deal with that other owner should that take place on lease renewals. So all in all, it just made sense for us to own it as opposed to having somebody else own it, plus we got a good rate of return, plus we're very familiar with the marketplace.
Richard Hill: Got it. So maybe more one-off adding retail. This was, obviously, strategic. I know on the last earnings call, you had talked about multifamily and really liking multifamily. But if I'm reading between the lines in your comment, your comments today, it sounds like maybe what the options that you're seeing are not quite what you'd like to add to your portfolio and you increasingly like what you own. Does that mean acquisition activity might be slowing a little bit? And you're just into preserving value, maintaining value, increasing value? How are you thinking about that?
Ernest Rady: Really, we always look to increase value. What do we own that we can enhance? And we've given you some examples of that this morning on Loma Palisades. Plus we have a number of construction projects going on, on the projects that we own, such as Torrey Reserve, to increase them. But you're quite right, frankly, Bob is a very staunch defender of our balance sheet. And he went over the metrics that we have in terms of debt relative to the income, et cetera. So the chances of us going on a wild canter of acquisitions is not great with the capital available to us. So we have to make the most of what we have for the stockholders we have and that's our focus.
Robert Barton: And Richard, to that end, we're still always looking at acquisitions. I wouldn't model in any additional acquisitions for the rest of this year, but we're always looking and you just never know.
Ernest Rady: But when we look, we've looked -- we're now looking because of Bob's ferocious defense of the balance sheet of what can we trade, what can we sell and be better off owning that what we acquire than what we dispose of. So we do not have unlimited resources now for acquisitions. It would have to be owning something that's better than we own now and having to free up the cash and keep the efficacy of the balance sheet in mind.
Operator: I'm not showing any further questions at this time. I'd like to turn the call back over to Ernest Rady for closing remarks.
Ernest Rady: Thanks, all you guys, for sticking with us all these years. You've heard our comments over the last six years and you've been more than gentlemen and you've been more than polite. And I just want you know we appreciate your interest and your consideration. And we hope to see you soon. Thanks, again.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.